Operator: This conference call is being recorded today and will be webcast along with a slide deck, which can be found on Crescent Point’s website home page. The webcast may not be recorded or rebroadcast without the expressed consent of Crescent Point Energy. All amounts discussed today are in Canadian dollars unless otherwise stated. The complete financial statements, and management’s discussion and analysis for the period ending June 30, 2020 were announced this morning and are available on the Crescent Point SEDAR and EDGAR websites. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session for members of the investment community. [Operator Instructions] During the call, the management may make projections, or other forward-looking statements regarding future events or future financial performance. Actual performance, events, or results may differ materially. Additional information or factors that could affect Crescent Point’s operations or financial results are included in Crescent Point’s most recent Annual Information Form, which may be accessed through the Crescent Point, SEDAR or EDGAR websites, or by contacting Crescent Point Energy. Management also calls your attention to the forward-looking information and non-GAAP measures sections of the press release issued earlier today. I will now turn the call over to Craig Bryksa, President and Chief Executive Officer at Crescent Point. Please go ahead, Mr. Bryska.
Craig Bryksa: Thank you, operator. I would like to welcome everyone to our Second Quarter 2020 Conference Call. With me today are Ken Lamont, Chief Financial Officer; and Ryan Gritzfeldt, Chief Operating Officer. As the operator highlighted, this conference call is being webcast along with a slide deck, which can be found on our website. Before we discuss our second quarter highlights, I think it’s important to provide some comments on our current macro environment and what it means for Crescent Point moving forward. During the last several months, our industry has witnessed an unprecedent series of events with global oil demand declining by up to 20 million barrels per day, increased volatility and commodity prices, greater uncertainty around market access and widespread financial restructuring in some cases, including bankruptcy. Despite these negative headlines, I strongly believe that those energy companies that remain disciplined and agile, such as ourselves will successfully overcome these current market headwinds. Over the coming months, we expect demand for crude to naturally increase as economies reopen. To put things in context, this past quarter saw the largest drop in global oil demand in recent history, yet, demand only fell by approximately 20%. Oil remains a leading source of energy around the world, and demand is expected to fully recover to pre-pandemic levels, over the next year according to the EIA. With respect to supply, we believe, future production growth will be limited as industry continues to shift towards prioritizing returns, free cash flow generation and conservative balance sheet. If companies remains disciplined, supply and demand dynamics for oil and gas should improve, which will help support stronger long term commodity prices. Though the longevity of the current pandemic remains unknown, I’m confident that our industry will continue to adapt to prevailing conditions. For Crescent Point, this adaptation is nothing new. Over the past few years we have taken a number of steps to enhance our long-term success. Our execution across all fronts of our business during this time has been around our core principles of balance sheet strength and sustainability. By being proactive, we have been able to maintain our financial flexibility, while continuing to reduce our net debt. We've also enhanced our sustainability by lowering both our cost structure and our sustaining capital requirements. Earlier this year, we announced we had reduced our operating expenses in 2020, by 50 million, or 7%. I am pleased to report, that we have achieved additional cost reductions throughout the organization, resulting in an expected per well capital cost savings of 10%. But these capital cost reductions, we are on pace to spend at the lower end of our 2020 capital guidance. I'm also pleased to report that during the second quarter, we released our second annual sustainability report. I'm proud of the work we've accomplished to strengthen our ESG performance. And I'm also proud of how effectively we have managed our operations during the COVID-19 pandemic. As highlighted in our sustainability report, we have built a strong safety culture, lowered our emissions and asset retirement obligations, adopted a technology platform that is reducing operational risk, and delivering efficiencies, aligned our compensation program with ESG metrics and increased our commitment to inclusion and diversity. In additional of these highlights, as part of our commitment to ESG, we have also set emissions targets. We are committed to reducing our emissions intensity by 30% by 2025, which includes a reduction in our methane emissions of more than 50%. At the same time, we have also enhanced our ESG risk management, reporting under the Task Force on Climate-related Financial Disclosures, or TCFD framework. With that, I'll now turn the call over to Ken, to discuss our financial results.
Ken Lamont: Thanks, Craig. For the quarter ended June 30th 2020, our adjusted funds flow totaled $109 million or $0.21 per share diluted, despite WTI averaging less than US dollars $28 per barrel. Our second quarter development capital expenditures totaled $72 million, down from $320 million in the first quarter, due to normal seasonality related to spring break up, in addition to our proactive decision to curtail spending in a low commodity price environment. As a result, we generated excess cash flow during the corner - during the quarter, and reduced our net debt. As of June 30th 2020, our net debt stood at approximately $2.3 billion, down over $450 million since year end 2019. We retained significant liquidity, with over $2.4 billion of cash and unutilized credit capacity, in addition to over $350 million of unrealized gains in our cross currency swaps to provide additional financial flexibility. We have no material near term senior note maturities. And our credit facilities do not mature until October, 2023. The balance of our capital program for 2020 is primarily weighted to the fourth quarter, and remains flexible and discretionary. Our current strip prices, we expect to fully fund our capital program within funds flow. Through our hedging program, we have built a position that provides a strong downside protection, as over 65% of our oil and liquids production, net of royalty interest is hedged to the remainder of the year. During the quarter, we optimized and restructured our hedge portfolio, in order to provide additional downside protection during the balance of the year. As a result, our remaining hedges in 2020 are now primarily comprised of swaps, at attractive prices, at approximately C$65 Canadian per barrel, or an equivalent of $48 US per barrel. We've also layered in some additional 2021 hedges into our portfolio, although at a modest rate, given the current commodity prices. We will look to increase our hedged exposure in a disciplined manner over time. I will now turn things over to Ryan to provide some operational highlights. Ryan?
Ryan Gritzfeldt: Thanks, Ken. In the second quarter 2020 our production averaged 120,842 boe per day and was comprised of over 90% oil and liquids. As previously announced, we took decisive action during the quarter to conduct a rigorous well-by-well analysis and voluntarily shut-in certain production. Our shut-in decisions were largely based on well-by-well level economics. The shut-in volumes we announced during the quarter were primarily located outside of our key focus areas, and also included curtailed production. By slowing down volumes in certain wells, we expect to be able to restore production in a more efficient and cost effective manner than if we had fully shut-in such production. Although a large portion of the shut-in production is economic occurred strip prices, we continue to seek additional stability in commodity prices and overall market conditions before executing our measured and staged reactivation plan. This strategy is consistent with our disciplined approach to operations and will ensure we avoid prematurely restoring production and incurring unnecessary shut-in costs in the future. Earlier in the year, we highlighted how our new workflow improvements and our adoption of digital technology have delivered approximately $50 million of sustainable operating expense savings in 2020 or 7% of our original budget. We are continuing to rollout these initiatives throughout our entire operations as part of our plan to realize additional efficiencies. As a result of our ongoing efforts to further enhance our sustainability, I am pleased to report that we now expect to realize per well capital costs savings of over 10% on average by year end, compared to our original 2020 budget. Our improvement in capital cost includes internal efficiencies to reduce drilling days, improve rack optimization and increased pad drilling efficiencies. As part of our commitment to decline mitigation, we have continued to convert producing wells to water injection wells with approximately 45 of these conversions completed year-to-date. The economics of these conversions are competitive within our portfolio, given both the cost improvements we have realized and reduce opportunity associated with converting - producing wells during a low price environment. Finally, I would like to commend our employees and specifically our field staff for their dedication and commitments to ensuring we continue to operate safely, while also realizing notable cost efficiencies. I will now pass it back to Craig for some closing remarks.
Craig Bryksa: Thanks, Ryan. In summary, by continuing to be disciplined and agile, we were able to preserve our strong financial position and enhance our long-term sustainability during the quarter. As a result, we are now in position to meet or exceed our current annual average production guidance of 110,000 to 114,000 boe per day with capital expenditures trending towards the lower end of our guidance range of $650 million to $700 million in 2020. Looking ahead, we have recently initiated our formal budgeting process for 2021. During this process, we will continue to focus on returns, balance sheet strength and sustainability. We plan to spend within funds flow and will remain disciplined in the event of higher commodity prices. We expect our sustaining capital requirements to decrease significantly in comparison to the start of the year due to our cost saving initiatives, expected moderation in our production decline rate, and our current pace of activity. Before I open the call for questions, I'd also like to welcome our newest board member Myron Stadnyk. Many of you in the financial community know Myron well, given his long standing 10-year at ARC Resources, prior to retiring as President and CEO, earlier this year. Myron is a proven leader that brings a wealth of knowledge and experience further complementing the strength of our current board. We welcome Myron and look forward to his future contributions. With that, I'll now open the call for questions from the investment community. Operator, please open the call.
Operator:
Operator: Thank you very much. [Operator Instructions] Your first question comes from the line of Juan Jarrah, I’m very sorry for my pronunciation, from TD Securities.
Craig Bryksa: Are you there, JJ. We can't hear you. Operator, maybe go to the next one there. We can't hear JJ at all.
Operator: Okay. Thank you very much. Your next question comes from Patrick O'Rourke from ATB Capital. Please go ahead.
Patrick O'Rourke : Hey. Good morning, guys. Patrick O'Rourke, here. Just kind of curious, you've had a lot of success, especially in the divestiture market. Just wondering if you could give us our view on the prevailing and underlying conditions for M&A. Going forward how you're thinking about that. Is it still predominantly on the divestiture side or are you now starting to change the focus and think about opportunities. And then maybe kind of what the magnitude of things could look like either way, I know there's not a ton left that's non-core in the portfolio.
Craig Bryksa: Good morning. And thanks for the question. As you've noted, too, I think over the last few couple years in particular, we've done a very good job of the disposition process that we went through and really refocusing our asset base in our portfolio and getting our balance sheet into a stronger position, what I would call now as a position of strength. However, to answer that I would - it’s basically - we're always looking to add value, whether that's A or D. We are looking to add value. So certainly dispositions has been the focus over the last couple years. That being said, we will take a look at things here into the future and see how that plays out. But again, anything that we do, do or do look at has to improve us around our two core pillars and that being long-term sustainability or balance sheet strength. So we're still focused on those, and that'll continue to be a focus. So, anything that we look at doing whether A or D, there's going to be an improvement on those metrics. I do see - as you do look out just a bit more of a macro picture, I do see the need for consolidation within the energy sector. And I do think you'll start to see a little bit more of that here is, as the year starts to play out and then play in into 2021.
Ken Lamont: Look when you're thinking about potential on the A side there sort of a minimum threshold where, you know, things would have to be to be meaningful for you. Or, you know, is there's a potential that we could see something where it's high inventory but earlier days.
Craig Bryksa: So anything on that front is going to be, you know, an individual entity in whatever that metrics are around that is how we look at it, so you know, whether it's large or small, I can’t answer that. But again, if it looks to improve us in the context of those two core pillars, then we certainly look at it.
Patrick O'Rourke : Okay. Thank you, guys.
Craig Bryksa: Thank you. 
Operator: Thank you very much. Your next question comes from Juan Jarrah with TD Securities.
Juan Jarrah: Try again. Can you guys hear me now?
Craig Bryksa: We can hear you JJ. Go ahead.
Juan Jarrah: All right. Okay. Yeah, really the only question I really had was on operating costs. I mean, every quarter seems like you continue to impress us from that perspective. Pretty big beat on that front this quarter and I think Q1 was in a similar situation. So congrats on that. I guess my question to you is, you know, one, how sustainable are some of these op costs reduction initiatives? And two, as follow on to that, how much further room could we see on that front?
Craig Bryksa: Thanks for the question JJ and I don't want to steal Ryan's thunder on this. So I'm passing it to him shortly. But I think when you look at what our operations team has done in the past 18 months on the operating cost structure, it's incredible, really. It's now $120 million of sustainable cost savings in the last two years and we're going to continue to relentlessly focus on that. But again, before stealing Ryan and his team's thunder, maybe I'll pass it over to Ryan for some comments.
Ryan Gritzfeldt: Yeah. Hi, JJ. Yeah, so like Craig said, we're - we continue to be very pleased with our focus on OpEx reduction. You know, from our new workflows and our operational technology platform Q2 you did definitely see some continued momentum from these savings and definitely the saving year-to-date are sustainable. As to, you know, future quarters, I continue to be hesitant to throw reduction targets with this new initiative, you know until we actually achieve them. But as I mentioned, we're continuing to rollout these new workflows to all of the field operations in our areas and hope to see continued savings by year end.
Juan Jarrah: That looks great. So we look forward to that. The other interesting thing I noticed in your new presentation is a new discussion of declining rates in 2021. And if I can read that chart, it looks like somewhere between 25% to 26%, which is a, you know, pretty good improvement over, you know, the 30 plus that we've seen in recent history. So I guess you know, how much of that would you say is to just natural reduction in spending as much as the industry is going through? And maybe how much of that is due to the water flood projects that you're working on?
Craig Bryksa: So thanks for the question JJ and it's a good point. So if you remember, we started this year round 30% decline rate. Next year we're looking to be in that, call it, 25% range so it's a pretty significant change. And it is a combination of both of those things that you highlighted, so it's a combination of the company's commitment to decline mitigation, and then, again, lowering that pace of activity has also supported that. What that split is? I don't know that right off the top of my head. It's a combination like you say of both. But again, as Ryan highlighted in the conference call, that commitment is still there on converting injection wells and we have executed on that. In this environment we're going to continue to do that. And we are starting to see - we’re not starting, while we are continuing to see the success of that, in particular when you look at the field and decline rates of the offsetting injection wells are the producers to the injectors. So again, that 25% is supported by both that decline mitigation and a little bit of a lower pace of activity.
Juan Jarrah: And long term, where do you see Crescent Points decline rates like in a kind of an ideal scenario without any M&A or any of that stuff like, what's your personal growth goal to see that target?
Craig Bryksa: Well, we're going to continue to drive that down over time and you know that's a tough question to tell you or to answer and give you exactly what it'll be over a few years because it does - there's a number of variables that roll into that, but as we can continue to focus on that and drive it down, ideally we can push that into the, call it, low 20s here over a few year time periods, but we'll see how that shakes out. Again, the focus is on it JJ and we are going to continue to really drive that down as much as we can.
Juan Jarrah: Sounds good. That’s all I had. Good quarter. Thanks, guys.
Craig Bryksa: Thanks JJ.
Operator: Thank you very much. Your next question comes from Jordan McNiven from Tudor, Pickering. Please go ahead. Your line is now open.
Jordan McNiven: Hi, guys. I just wanted to ask on the shut-ins. It sounds like a very conservative approach to bringing them back. Are you able to give us an indication of what the cash flow breakeven looks like kind of on average are in general on these assets just to kind of gauge the impact we might be looking at as we think about them coming back into the market?
Craig Bryksa: Yeah. So, as far as the timing of the shut-in volumes, and what we've been seeing and what we've been holding to is, we were looking, we're really looking for some stability and commodity prices and price stability. We were looking for about $35 WTI pricing with normal differentials for a couple months before we started to bring these back online. We just didn't want to have the go ahead and bring them back on and then all of a sudden commodities dip off and that’s incur more cost than we needed too. So I think we've seen that. So look for us to start to finalize our plans and then bring those back online. As far as your questions around cash flow, those are certainly - they would certainly be positive cash flow right now and when you start to press it above that call it $30 WTI prices, they are certainly making money for us. It's just that we were looking for a little bit more stability. So, as we bring those volumes back online, look for us to let the market know what that looks like in some time period here in the future.
Jordan McNiven: Okay. So I mean, it sounds like, for the most part, we’re probably talking about $30-ish kind of breakevens, I mean it probably is, quick math, I mean probably is a pretty meaningful contribution to cash on. I do the mental math right, boy is something like $20 million for the quarter or something like that, I guess. I mean, I guess when you compare that to what the cost would be and the risks of bringing it back too early and having to turn around and, shut them in, again or incur further costs. I mean, you really get to kind of give us an indication of what that looks like, how much you know on aggregate will you say cost kind of shut-in on a mass level like this versus potential economic upside?
Craig Bryksa: Yeah. So it – well, first, we did things the right way. We made sure when we were putting them all down that we spent the time and did need POC [ph] that we needed to do, so any work downhole or even on the facilities that were going down that we've shut it in properly, so we didn't have hiccups bringing it back. So that work was done. For us to bring them back online is not a huge dollar commitment on that, so whether it's a million or two, it's not a real significant component. And then again, because we spent that money the first time shut them in, if we had to do it again for us to now turn them down, or shut them in, you're looking at a similar span. So it's not a very significant amount we just wanted to make sure that we had a stable commodity price. And again, I think we've seen that now here with oil being where it is. The last couple months we're at the levels where we're comfortable. So, we're going to solidify those plans here. And then again, we'll get some note to the market as we need to and that changes. But your number around $30, that's a fair comment around $30 WTI, for the most part, things are good. The other thing I would say is, as we bring these back online, it's rough approximately 25,000 boe per day. There is some volumes that we will not be bringing back. If you remember, there's about 4,000 boe per day of our - from our SEAP gas plant in Southern Saskatchewan, that with the way ethane prices are right now don't expect us to bring that back on in the near future. So it will be more of a measured approach, as we go through that.
Jordan McNiven: Good. Perfect. That's it for me. Thanks, guys.
Craig Bryksa: Thanks. Thanks for the question.
Operator: Thank you very much. Your next question comes from Michael Harvey from RBC Capital Markets. Please go ahead. Your line is now open.
Michael Harvey: Sure. Thanks. Good morning, guys. So maybe just a bit of a broader question on your operations as you're pulling together the 2021 program. So just wondering if you plan to adjust the regional capital allocation kind of between assets, from where it's at 2020 and what I mean by that is, we’ve heard lots about cost reductions and efficiencies, but are there assets-specific parts of your portfolio where those changes have worked particularly well, where you'd tilt more capital to in 2021. Obviously, we're finding that some of the op stuff can get a little lost in the noise these days. And just wondering if you could flag some of those regions that you're most excited about, as we look forward to next year? That's it for me.
Craig Bryksa: So, thanks for the question, Mike. So we have initiated our formal 2021 process right now and we are going through that right now. Where I'm excited and why I'm excited is that those cost savings we're seeing across the board, so there's been significant wins here on cost reductions across our focus areas. So as we go through and review our capital allocation process, don't look for material changes amongst the asset base itself, we probably will be fairly consistent on that. But again, that 10% reduction on the per well unit costs already that we're seeing this year is across the base. So that's what really brings in some of the excitement and I don't know Brian if you'd want to add anything to that. Again, Mike, we just initiated the process. So as we go through that we'll paint a clear picture to the market at some point in time here.
Michael Harvey: Got it. It’s helpful. Thanks.
Operator: Thank you very much. Your next question comes from Amir Arif from Cormark Securities. Please go ahead. Your line is now open.
Amir Arif: Thanks. Good morning guys. Just a follow-up question on the shut-in volumes there, so should we assume, based on your comments there that about 20, at least 21,000, we'll be coming back on time in the second half in terms of those volumes back on?
Craig Bryksa: So again, I think we're at the level now where we're comfortable with the WTO pricing, the differentials, and how things have played out, that we're going to formalize their plans here. And then look for us to bring that on. I don't know, if it'll be exactly, - if it'll be exactly full 21,000 or what it'll end up being. But again approximately 4,000 is average from that, ethane extraction plant. So don't look for that to come back here in the near future. And then again, as we do finalize it, we'll update the market.
Amir Arif: Okay. And then, just a question on the 10% reduction in capital cost. And I understand like a Flat Lake, for example, you're getting a larger reductions, about 20%. Is there anything different about that asset that you're doing, that's allowing you to have a larger cost savings on the wells over there versus the other areas?
Craig Bryksa: I think just in general, what I mentioned to you on, reduced drilling days, continuing to optimize our frac's, some pad drilling efficiencies. So I think, in Flat Lake, specifically, we've made maybe a little bit more advances in that area compared to others. But in general across the board it is from, you know, the reduced drilling days, continue to optimize frac's and pad drilling efficiency. Those are really the three key reasons.
Amir Arif: Okay. Then just final question just on ‘21, I know its early days, you guys are just starting to think about the process. But just in terms of the strategy of how you're planning that out? Or you're looking to just live within cash flow? Or you're looking for further absolute debt reduction, as you layout a plan relative to whatever cash flow might look like in ‘21.
Craig Bryksa: It's going to focus on really what we focused on here the past couple of years, so long-term sustainability and balance sheet strength. Look for us, like we have this year and we've made it very clear to the market that we will certainly live within cash flow. So look for us to carry that same theme into 2021. So we will be looking to live within cash flow, and not build any incremental debt. And ideally commodity tape, as it starts to rise gives us a benefit. And we're quite torque to the upside, as oil prices start to run, that we have a significant amount of free cash flow that will start to be generated. So, again, one of the pluses of what we're going through right now, as far as the pandemic and the commodity price crashes, it is, as we, talked a little bit there with JJ earlier, as far as our decline rate it certainly helped our sustaining capital. So in order for us to stay relatively flat year-over-year we need to spend, around $650 million. So, we'll see how commodity prices are, as we're going through the budgeting process. But look for us to live, within cash flow.
Amir Arif: Okay. Thanks for color, Craig.
Craig Bryksa: Thanks for the questions.
Operator: Thank you very much. Your next question comes from Travis Wood from National Bank. Please go ahead. Your line is now open.
Travis Wood: Hi. Good morning, everybody. Craig in your opening remarks, you touched on the sustainability report that you guys published last month. I know that type of thing in this market with all the macro headwinds can get overlooked. But I know a lot of effort goes into that, still comes up in conversation with certain institutional clients. So could you help us to understand that 30%, target over the next five years, kind of what drivers will get to that level, by 2025?
Craig Bryksa: Thanks, Travis. We were quite excited to get that sustainability report, that's our second annual sustainability report, so look for us to continue to build off that into the future. But one of the things that we did lay out in that report this year was that emissions reduction target of 30%, and I did highlight in the opening remarks there, that not only is it 30% emissions reductions, but it's actually 50% on the methane reductions, which we all know is the most harmful of the greenhouse gases. So, we are taking those steps. And we've laid it out Travis, in the context of the current commodity price environment, so that is something that is certainly achievable for us. It's built into this year's budget. It's built into next year's budget or will be and then we've laid it out in our 5 year plan. It's a - at the end of the day, the capital - and the capital requirements for that are, I would say less than a percent of our overall spend. So, certainly achievable numbers and ideally Travis, we can you know, we can exceed that. But we're committed to it. So look for us to execute on that over the next few years here. 
Travis Wood: Maybe kind of tying that back to shut-ins and some of the volumes that may be left shut-in, whether it's kind of a cost hurdle or low productivity wells, will that play into this equation as we think about emission reduction and methane reduction?
Craig Bryksa: No, that's not, I mean that's not really it, Travis, those wells are - if they make sense for us to bring them on regardless of what their emissions are, we'll bring them on, So it doesn't have any of that really tied into, it's more tied into our capital program and our commitment overall to reduce those emissions. So it doesn't have - it wasn't built in with us shutting those volumes in.
Travis Wood: That’s help. Thanks for the color.
Operator: Thank you very much. Your next question comes from David Popowich from CIBC. Please go ahead. Your line is open.
David Popowich: Yeah. Thanks for taking my question guys. I just want to ask you about the Dakota Access Pipeline. Obviously, that's been in the news a lot lately, and it seems like your stock has traded around, news flow on that topic, so can you provide a bit of commentary on how you see the potential shutdown of that pipeline impacting your cash flow, whether you just want to talk about how much you would expect the differential the wide note? How it would impact or realize pricing in either North Dakota or South East Saskatchewan, and maybe a general comment on the LSB market if you have any opinions? Thank you. 
Ryan Gritzfeldt: Sure. David, I can take that. Its Ryan. Yeah, so for us, obviously we have been active in North Dakota. So, we do have volumes there. We don't have any direct takeaway commitment on DAPL, so it's not like we have any issues there. Obviously, we have other market access points from DAPL, when there's other pipelines out in North Dakota. In the past we have also you know trucked to Southeast Saskatchewan at actually very reasonable trucking rates. So, we do have options. And obviously can differ North Dakota activity, as it is a small portion of our production and capital budget, we can defer North Dakota activity to later into 2021 and wait till we get further news on that. 
David Popowich: All right. So all-in-all, you would say it's a pretty minor impact both your cash flow or realized pricing, however you want to put it.
Ryan Gritzfeldt: Yeah, I think that's a fair comment, David, yeah.
David Popowich: All right. That's it for me. Thanks, guys.
Operator: Thank you very much. Craig, there are no further questions at this time. Please proceed.
Craig Bryksa: Thank you for taking the time to join our call today. If you have any questions that were not answered, please call our Investor Relations team at your convenience. Thanks, everyone.
Operator: Crescent Point’s Investor Relations department can be reached at 1-855-767-6923. That was 1-855-767-6923. Thank you, and have a good day.